Jon Erik Engeset: Good morning. Welcome to Hexagon's Q3 Presentation. I will spend a few minutes initially on updating you on some of the strategic points. And then David will give you the highlights of the financials and also the outlook section. This is refreshing - good morning, refreshing the discussion we had at the last quarter, where we explained that we have, over the last few years, taken Hexagon from being primarily a Type-4 cylinder supplier to becoming a systems and, increasingly also, a system integration company. And also, we've taken those solution from what we call g-mobility or gas mobility and are now applying on e-mobility or electric mobility, meaning that we are principally agnostic as to the fuel system solution for alternative - fuel alternatives available today. So to the left, you see the quality traditional Hexagon fuels, CNG, and then we have RNG, renewable natural gas. And to the right, we have Hydrogen electric and battery electric. And we also think there is a very interesting hybrid between g-mobility and e-mobility. So if you look at what we mean by e-mobility, there are basically three conceptual alternatives. It is pure battery electric, to the left. And then we have fuel cell electric or hydrogen electric. And in the middle, we have what we call series hybrid or a combination between combustion engine generating electricity and then supplying the battery. Common for all of these alternatives is that you need a battery to fuel the electric motor. And this is very core in our e-mobility strategy where we, today, effectively act as a system integrator. Some of these systems are proprietary, so our own systems. We have our, obviously, gas fuel systems, hydrogen fuel systems with our own Type-4 cylinders, but we also have developed battery systems. We are not a battery cell supplier. We are sourcing from sub-suppliers, and we're also sourcing the modules. But we're packaging these modules into optimized battery systems, battery packs. And we are also integrating that with power distribution systems. And in that context, the software necessary for that distribution is core, and that is also proprietary technology of Hexagon. And then that enables us to source from third-parties other components and systems, for example, the e-axle system. Going forward, we will combine all of these activities in Hexagon Purus, one of our business areas. So the Hydrogen systems solutions that currently reside in Agility as well as the battery electric system technology will be transferred to Hexagon Purus, which will then be our vehicle for driving our e-mobility strategy going forward. So in Hexagon Purus, from January 1, 2020, we will maintain the light-duty vehicle business, both on CNG and on Hydrogen. But we will also then, in that entity, have the medium and heavy-duty battery electric and fuel cell electric systems. We will also have the distribution business for Hydrogen or Mobile Pipelines for Hydrogen, if you like. And we also have that other books, which, for now, is a limited business but where we see some very interesting, fascinating business opportunities going forward. So fast ferries is in there. The drone segment, we believe, will develop with the fuel cell technology. You also have rail in there and some other opportunities. So in new Hexagon Purus, we will then have the site in Kassel, Germany. We will also have - we will also transfer Masterworks, which is located in Taneytown that will be a subsidiary of Hexagon Purus. We will split the engineering company in Kelowna, British Columbia and have the e-mobility engine there is then a big part of Hexagon Purus. And likewise, in Lincoln, there will be an engineering community, which will become part of new Hexagon Purus. So by doing that, we will have, let's say, the highest-growing activities in Hexagon Purus. And through 2019, we have enjoyed significant growth in this business. And it's a business now of approximately NOK550 million in revenue year-to-date - or sorry, last 12 months, which means that we will conceptually have two different business ideas, if you like. You have g-mobility, where we will be focusing on profitable growth. We are in an early harvesting phase. And then we have the e-mobility business, where we're still developing new technology and new solutions and where we still in an investment phase. So with that introduction then, David, this floor is yours.
David Bandele: Thank you, Jon Erik. I'll just take you through the third quarter 2019 financials. Firstly, the highlights. So continued solid Agility Fuel Solutions volumes for this quarter as well. We very much note the high transit bus volumes, actually now constituting 40% of total revenues for Agility. CNG Light-Duty Vehicle volumes, as Jon Erik pointed out, has continued to be strong. And on the Hydrogen side of Purus, a dynamic market, very pleased to receive two new heavy-duty bus orders, and we'll go into that a little bit later. A decent mobile pipeline volumes; we had - we actually beat our personal expectations with stronger deliveries to Europe. So we have now completed a rather large backlog that we came into the year with, so that's positive. And we've also had begun to start deliveries on RNG, renewable natural gas, contracts for our mobile pipeline in North America. So a 74% year-over-year growth, be that Q3 2018 was a weak quarter. Also good to note, Digital Wave services testing business also connected to mobile pipeline. And also, Masterworks have been giving satisfactory contributions for the quarter. LPG volumes have been seasonal, so within expectations there. I move on starting with revenues on the left. We posted NOK770.3 million in revenues versus NOK276.7 million in the same quarter last year. Of course, this year, we bring in Agility consolidated for the first time. But you can see the growth there, NOK494 million, and that's over - well, NOK410 million of that is for Agility. If you pardon me one second, I've forgotten my glasses. That's better. These numbers are much clearer now. So as you recall, yes, sorry, the growth was NOK494 million year-over-year. Agility has contributed NOK410 million of that, so a good growth then coming from our other business areas, again, particularly CNG Light-Duty Vehicle and mobile pipeline. On EBITDA, we posted NOK49.3 million versus NOK39.2 million headline rate Q3 2018. I have to recall that Q3 2018 included a one-off or at least an unusual item of NOK50 million reversal of our earnout provision that was connected to our Xperion acquisition in 2016. Adjusting for that, Q3 '18 will be a minus NOK10.9 million quarter. So you see good year-over-year growth, NOK60.2 million there for EBITDA. Agility contributed NOK36 million of that. And that's also after investing in some of the growth businesses that we'll go into within Agility. So investment in Agility to those growth businesses was a NOK9 million effect. Hydrogen, the ramp-up effect this quarter was NOK20 million, and that was versus NOK15 million same quarter last year. So as quarter three's go, for EBITDA, this has been a pretty good one in our history and quite satisfied in that respect, but of course, we very much look forward to Q4 and continuing our strong results. As we go over to the right-hand side. The net profit, we recorded NOK55.5 million versus NOK32.6 million unadjusted last year. Here, we absorbed the effects of the extra depreciation, the amortization of intangibles that comes with the Agility transaction. That effect was minus NOK49 million. Tax charges year-over-year were a NOK23 million effect. And also, the interest and leasing costs, minus NOK18 million. So most of that is due to the bond that we are, obviously, paying now that we didn't have last year, and that's for the acquisition of Agility. But by far, the largest effect impacting profit after tax then ultimately is currency effects. So we had a positive NOK102 million year-over-year impact to currency and more or less NOK103 million for the quarter per se. So large currency effects acting positively or hitting our bottom line positively. We take the usual picture of starting with our group reported results we just went through, NOK770 million on revenues and NOK49 million in EBITDA. We got some good feedback last quarter, where I wanted to be a little bit more transparent on some of these investment businesses that are actually within the Agility business unit as well. So in the middle section, call these our startup businesses, we correct for the revenues and EBITDA effect or results of Hydrogen. That's in orange. In the docket bar there, we look at the heavy-duty, medium-duty EV, battery electric vehicles area that Jon Erik covered. This is a - we have an anchor customer in Daimler, and we are funded by several pilot programs, actually, Daimler being the main one. But still, even though we had some good revenues there, NOK25 million, we still have investment in the business and have a minus NOK3 million results in the quarter. The other business at the startup is the medium-duty business in Agility. This was - this started from literally nothing. Purchased some assets and some good people. And they are on their way to making that into a very profitable business. Today, it isn't. So this quarter, it had a minus NOK5.5 million effect on EBITDA and NOK9.3 million in revenues. But we're going to go into the UPS contract later on, and that will be the game changer for this business. So this business is currently NOK60 million LTM-annualized revenue business, and we can see a route to around about NOK300 million, so 5x growth within just two year time frame, so that's the sort of effect that UPS will produce to that business. And not only UPS, but that will definitely take us to the positives over the next couple of years. So to the right; when we normalize for that, we see that the rest of Hexagon has a healthy double-digit EBITDA margin of 11%. Switching gears; this is the revenue before eliminations of all the business units. And here, we look at pro forma year-over-year. So the left-hand side includes Agility. It also includes Digital Wave, which was a new acquisition at the end of 2018 as well. And year-over-year, a good growth on the top line. Agility, a slight growth there on a NOK-for-NOK basis. When we look at the Purus side of things, we see NOK151 million this year versus NOK53 million previous year. Most of that growth being the CNG Light-Duty Vehicles. And we see the rather weak quarter on the left-hand side for Mobile Pipelines of NOK94 million and NOK142 million, which is satisfactory as far as Q3 is go for Mobile Pipelines. LPG, we had on Q3 2018 quite a strong Q3 for LPG, NOK152 million. We had more-than-normal usual seasonal quarter of NOK118 million in sales this year. So all in all, a good growth. When we look at the cash side of things for the quarter. This looks at the movement within Q3 2019. We started at NOK123 million in cash balances and ended up in NOK164 million, an increase. Very good cash generation from our operations, where we exclude the impacts of operation work - operating working capital, so plus NOK88 million contribution. Operating working capital, which, as you know, is just strictly looking at the inventories, looking at the trade payables, looking at the trade receivables, that was more or less neutral, plus NOK6 million. Two effects happening there. Increase in inventories for the quarter, as particularly with Agility as Agility gear up for a very strong Q4 and going into 2020. But positives offset by a good performance on payables and receivables. CapEx, a fairly modest spend for the quarter of NOK26 million. And we've continued to develop some of our product portfolio, particularly in the Purus side of the business, spending NOK13 million there. Net movements and other financing, that's mainly our debt servicing of NOK14 million. So what does the balance sheet look like? On the left-hand side, you see an expansion, mainly in the fixed-assets area. Again, this is the - mainly the currency effects. A lot of those intangible and assets are U.S.-based, and with the better - with the weaker NOK and a stronger dollar, that has just inflated those balances for the quarter. Otherwise, you see in the lighter gray above that, NOK797 million of inventory. So you can see quite an uptick in inventories. Again, this is mainly Agility, and looking to wind those inventories out over Q4 and Q1. Otherwise, the reduction there in receivables and the increase in cash. If we go over to the right-hand side of the balance sheet, favorable currency impacting profits and impacting then the equity picture. Otherwise, they're pretty stable. And we note that net interest-bearing debt then has dropped to NOK1.136 million. The bond was for NOK1.1 million, so we have net additional drawings of NOK36 million, so a satisfactory position on the balance sheet and liquidity aspect. So I want to have a little bit more of an introspective into certain areas of the business units and particularly Agility. So we will take some time to go a little bit deeper into Agility. And also, we will split out Hexagon Purus, so you can see the two sides of Purus as they impact the financials, the CNG Light-Duty side and the Hydrogen side, provide some further explanations. So firstly, Agility. This is basically a collection of some of the good things that they do. The heavy-duty trucks area, a picture of a UPS long-hauler. And here, the penetration rates in North America still run about 1.5%. So when you think about the future growth, this is certainly the area that's very exciting. So just doubling that penetration will have a significant effect for Hexagon. And with UPS, we see that sustainability is becoming more of a factor in this area. Previously, it was quite economics-driven. So what is the difference in price between the CNG fuel and the diesel fuel? And can I get a payback within the 4 or 5-year holding I have before I turn over this vehicle in my fleet? With UPS really pushing the sustainability factor in the larger fleets is becoming more of an economically - sorry, more of an environmentally driven value proposition. So that's very good for Agility. Transit buses, bottom on the left. These are return-to-base operations. They operate in cities. And this is very much a sustainability, a clean air play. They happen to return a very good financial return. They are long-hold items. They are often in service for about 12 years, for example. So this is a very good sector for CNG. In America, the adoption rate is around about 30% to 40%. Top metal is the medium-duty trucks. That's a picture of a school bus. In medium duty, we offer propane and CNG solutions as well today. On the school bus, the propane is actually around about 12% penetration in propane in school bus side of things. So that's an active and good market for Agility. On the Refuse Trucks. Below, we have a picture of waste management Refuse Truck or garbage truck. And waste management is a very large customer of ours. Again, very ESG focused. On some of the waste management fleets, then they get their - you can say that price of their fuel around about NOK0.50, NOK0.60, NOK0.70 landfill prices, which makes it a very, very attractive economic proposition to run these fleets. But of course, in terms of the environment as well, clean air, low NOx, low particulate matter, a very good value proposition. In North America, CNG remains a go-to fuel for these trucks, so around about 50% to 60% adoption rate. And then we have the Hydrogen trucks, which is a growing sector, as explained, and battery electric. On Q3 to the right, I already touched this, but fairly flattish quarter. We had a strong quarter last year relatively - relative to 2018. And this is the weakest quarter relative to 2019. So pretty much flat year-over-year for the quarter. But in terms of year-to-date or LTM growth, way above 30% growth in Agility. And for the size of P&L, given this is half the size of Hexagon's or contributes the half of Hexagon's P&L, this is a very good news. Coming back to this quarter, we saw a continued growth in the European Transit Bus market, solid heavy-duty truck volumes and also solid Refuse Truck volumes. And that's despite, as we mentioned last time, most of a heavy skew of orders in the first half of last year. So second half is lighter, but still on a very good run rate. Margins are, you see to the right-hand side, a 9% for this quarter. But again, if we correct for the impacts of the startup businesses I mentioned, the EV, BEV programs and the medium duty, it's actually a 12% underlying margin, which is where we'd like to have Agility. It remains self-funded, it's strongly cash generating. Just to remind you, the LTM reported EBITDA was NOK173 million, so that's very good. I will say, however, that Agility being end-to-end with the customer actually then ties in a little bit more working capital than you will have in other businesses where we sell cylinders in Hexagon. Before Agility, we were around about a steady state net working capital of 11%, and then after Agility, probably around about 17%. So strongly cash generating, but it also on the upturn does take up working capital. This is just the picture of the last five quarters of Agility. And in the bars, on the top, the lighter color there, represents the heavy-duty truck. The darker color, the next one down, the Refuse. The orange is the transit. Light blue, you can just about see there, is the medium duty. And the bottom one is all the others, which is the BEV, the Hydrogen trucks, but also parts and services business. The first thing you can see is that, by far, what constitutes most of Agility's revenues of those three areas today? In terms of what impacts these, it's very hard to show a pattern, a regular pattern. But looking at the snapshot of the last five quarters will give you a flavor of some of the things that impacted. If we look at the truck volumes to the left-hand side, Q3 and Q4 '18, what had happened is that the market was waiting for adoption of a new nat gas, natural gas engine, a near 0 comments engines, so near 0 NOx. And in waiting for that adoption, so a lot of orders also waited until that was introduced. It was introduced finally in Q2 2018. And then you saw quite a release of orders in the Q3 and Q4 time frame. So those are certain factors that can happen. And then also, heavy-duty truck. There are big fleet customers like UPS, big OEM customers. So depending on their order patterns, that can also impact in any one quarter. And certainly, the sustainability drive back to UPS is something that we will see impact this sector positively over the next three years of the LTA at least. Refuse; we had a major customer, waste management, in Q1 2019. In Q2 2019, you can see there are particularly large areas for the Refuse Truck, 141 and 198. So again, they pulled a lot of their orders to the first half of the year. And then in transit volumes; here, you see a nice increasing trend. The EU clean air directives are certainly accelerating demand in Europe. So we have a very large customer in North America that we actually today supply just the cylinder, not the system to, but Europe is certainly coming up in terms of a transit bus market rather significantly on the g-mobility and on the CNG side of things, transit buses but also as we'll see Hydrogen and other zero-emission solutions. So that's a great news for Agility, a great news for Hexagon. On the medium duty; it's still growing, but the UPS contract will, certainly, as I mentioned, change the game going forward. So small sales now, but we'll already start delivering to UPS already in the fourth quarter. So as I mentioned before and I will mention later on, the Q4 '19 is still expected to be the strongest quarter of the year for Agility. So that was Agility. Let's spend a little bit of time on the Hexagon Purus, the CNG Light-Duty Vehicles business unit within Purus. Exceptional growth; we can see the picture of the LTM the last 12 months per quarter, in the last five quarters. And certainly, we see this real growth curve. And that's driven by Volkswagen. It's focused on fleet emissions or reducing fleet emissions, and they have actively expanded their range of CNG models and RNG. And of course, this is the Volkswagen whole group, so then you have also ŠKODA, Fiat as well as Volkswagen to name a few. These volume increases are very good for us, obviously, but it also justifies then further investment into capacity we have almost in the area of completing the first phase, but also importantly, increasing our automation and productivity in Kassel sites as well. Potential, as Volkswagen focuses on CNG and RNG, then that gives us at least the potential to export our Type-4 technology into other geographies. So if Volkswagen is going to expand outside of Europe, in this one, we would like to at least have our foot in the door there. And we can see a route to this being NOK500 million revenue business unit already by 2021. So a good news there. Let's look at the Purus side-by-side. So on the left-hand side, this is the CNG LDV, light-duty vehicle picture. When you look at it on a quarter-for-quarter basis, you see that growth even more market. Bearing in mind Q3 '18 was more or less standstill as the WLTP, the world global testing program, was creating the bottlenecks. Since releasing from that and the exaggerated demand from Volkswagen, we see a clear growth. On the right-hand side, a clear growth in profits, I should say. On the right-hand side, Hydrogen has a slightly different profile. It's in the investment phase. Modest revenues. And of course, a negative EBITDA contribution in this investment phase. So when you net Purus, you usually see a slight negative contribution per quarter. Going into the drivers of that for Hydrogen. The revenues at least from a year-to-date basis, they are split between quite a few longer-term development contracts. These development contracts can last for two to three years, and also, commercial products. And the split year-to-date at the moment is about 60% on development, 40% on commercial. And that gives meaning to the P&L because whilst we have very healthy gross margins on the commercial side of the sales, of course, we have modest cost-plus margins on the development side. So what you're getting from the contribution then will not typically cover your cost base. In addition - or your full cost base, I should say. And in addition, obviously, we are investing in that cost base. We have increased the people in order to be able to handle all these programs and into the future, and obviously, the infrastructure and footprint. And it's really that fixed-cost increase then that is driving most of the negative result, but it's also that when - in our top line, it's not a fully commercial top line. It's very much development project revenue. Okay; so that was Q3. Now the outlook for the fourth quarter. Starting with Agility; we expect positive development across all segments. As we said, we expect this to be the strongest quarter of the year. And just to reemphasize, the medium-duty sales to UPS will already begin in the fourth quarter, but we expect strong transit bus, we expect good truck volumes as well coming through. Let's spend some time on this LTA with UPS. This is Agility's largest ever long-term agreement with UPS. It's another 3-year exclusive agreement. And it's worth from $65 million to $95 million. So that's around about NOK0.6 billion to NOK0.9 billion. The - this LTA is to supply CNG, fuel storage and management systems of the whole integration package, which we do, for medium and also heavy duty and also terminal tractors. So these vehicles that move large weights around, for example, large freight around ports, for example. So UPS will definitely commit to buy more than 6,000 CNG trucks between 2020 and 2022 and potentially larger, hence, the range of values given there. This is great news for Agility. Compared to the last LTA signed in 2016, this is 2.5x that value. So if there is ever a need for a data point, which is showing that sustainability is really driving the picture, it's UPS. This 2.5x contract value, of course, requires capacity to produce. And we're already in the middle of a capacity program, and we will be in place to perform to that contract. We think it's a great contract. Of course, this is just part of the NOK450 million investment by UPS. So as the quote says at the bottom from the Chairman and CEO, our goal is to run 25% of the vehicles we purchase in 2020 on alternative fuels. So very aggressive. Moving over to Hexagon Purus and Hydrogen; I mentioned the two new bus contracts. So Solaris is a partner we've had on the CNG side. We've sold over 1,000 buses to Solaris, so they're a good customer of ours. And they are now also expanding - responding to those EU clean air directives, looking at their zero-emission portfolios, and now already expanding into Hydrogen buses. So begins with a small order, but - and expect delivery in the third quarter, but hopefully, bigger and better things. And also Portuguese CaetanoBus. So that's a new one for us, and we have two initial prototypes, which will be completed for delivery in 2019. And I would just point out that on Caetano, they are also part-owned by Mitsui. Mitsui is a large shareholder in us, so we're able to leverage that relationship successfully. On light-duty cars, you saw the pictures of the Fiats in front there. For Q4, we expect more of the same. So we have good backlog. So we should be on a par with Q3. Very interesting to note that Germany, since we increasingly a g-mobility center, so their Federal Minister of Economy is now pushing for three million natural gas vehicles on the road by 2030. A couple of years ago, we were talking about 1 million vehicles by 2025. So this is a very pleasing development in the market in - looking at the country, Germany. Looking at Volkswagen again and Fiat; they are participating directly in renewable natural gas projects, part funded by the EU. And they're really looking into how to power their cars or part of their fleet then with RNG, which gives a fantastic GHG emission footprint. A picture of a - from Lincoln, Nebraska, home to our TITANs. That's the TITAN 4 on the road, beautiful picture. And Mobile Pipelines will continue to be challenging near term. Underlying market drivers are supportive, but it is a fight. We do expect some customer delays into Q1 2020, although we did get some benefit in Q3. But also, we'll continue deliveries to RNG contracts. And yes, visibility is always a little bit low here. But as I said, we can see that there is good action in the market, but it's digital, whether you land these contracts in Q4 or Q1. In saying that, we also have a very positive services business contribution from Digital Wave. So this is a testing of our composite tank vessels. But they also have technology to test other metal lines and cylinders as well. So a very good technology company there and actually delivering good margins. So we expect Q4 to be more of the same also for Digital Wave. So Hexagon does steadily increase its services business with the help of Digital Wave. Ragasco; we expect more of the same, another seasonal Q4. Remember that the first half of the year is very much boosted by the leisure applications, barbecues, the summer, etcetera. So the usual slowdown in the second half of the year, so Q4 won't be any different. We will have the usual maintenance closure in December and do all the repairs that we need to do. Here, we also note some potential postponement of volumes from some of the European customers. But also, we're balancing that with our increased penetration in Bangladesh, which has been a very good contribution to recurring revenues, particularly in 2019 and will go into 2020. So overall, what does that mean? Q4 is looking strong. But again, we just put some caution. There are some risk to revenue in LPG and Mobile Pipelines. Agility and CNG LDV will remain strong contributors to profits. And the underlying drivers for greener mobility are strong and very much in place. And with that, I'll have Jon Erik come, and we can maybe do some Q&A.
Q -Mikkel Nyholt: Mikkel Nyholt, Carnegie. First question is on the overall outlook and the confidence for Q4. You mentioned now during the presentation that Q4 still ramps up to be the strongest quarter of the year. But looking in retrospect of that same guidance you gave in Q2, my impression were that Q3 probably came in slightly higher than at least what market expectations were. So the question is, has Q3 improved through cannibalizing some of the earnings you expected to be postponed into Q4? Or has Q3 just been better than expected and Q4 looking from a Q2 perspective are still shaping very strongly?
David Bandele: A touch of both. I would just say in Mobile Pipelines, we certainly had more deliveries than expected fall into Q3 that we thought would be in Q4. So there are some cannibalization there on the Mobile Pipelines. I think on the LPG, that's still as we expect, but we just highlight, with Bangladesh, it depends on financing the orders, so there's always can be some delays there, but that's just falling into Q1 '20. Hopefully, it doesn't. And yes, so I think that's - those are the main effects. But they're still looking strong, Mikkel.
Mikkel Nyholt: And speaking on Bangladesh and Ragasco. Ragasco has delivered quite steady EBITDA margins around 20% for many years. But with Bangladesh now being a large contributor this year and probably will also in 2020 in other market, it seems maybe that margin level, it'll take some time to regain that. Do you foresee ever recovering to the 20% levels? Or are the long-term target for Ragasco being more in the 15% to 17% range? Or can you elaborate somewhat on that?
Jon Erik Engeset: So I think you're right. There is a softness in the European markets. We believe that to be temporary. So there are several contributing factors, one being relatively warm autumns and winters, with lower profitability in the underlying LPG markets than was the case in the previous years, and leading some of the distributors to rationalize on their CapEx. But that can only last for so long. So we expect that market then over time to get back to where it was. And we see no reason why the margin picture should change significantly in that region. And then of course, developing new regions is always costly. And I don't think as we grow the business into other regions that we necessarily can maintain the same margin levels on average. But in absolute terms, I think we should look forward to recovering over time. But temporarily, there is some risk of that current softness continuing into 2020.
Mikkel Nyholt: Lastly for me then would be on the pipeline activity for new initiatives. Now it appears that you are not pushing as hard on Hydrogen as the one future alternative fuel, but it's more a broader base of clean fuels that you're running for. And are you able to say anything about the number of demoing contracts or prototype deliveries or just the number of tenders that you are participating in? And how that has developed over time? Has the momentum increased or are we at a steady state level? Or what can you say about momentum?
Jon Erik Engeset: So firstly, I think we have been fairly agnostic consistently. I think we've consistently said that we don't believe that there will be one solution but that there will be a mix of several. And as we gain more experience, we - our view is confirmed. So today, we are quite convinced that it will be a mix with different technologies being the solution in different regions. And in most regions, you will have a combination of both gas technologies, fuel cell Hydrogen and battery electric. What we also observe is that there is relative shift from the light-duty segment, which was very much in focus two, three years ago with regard to hydrogen, and there is today more focus on heavier-duty vehicles and other transportation means. And that makes sense because the heavier vehicle, the heavier the battery pack and the more logic to apply hydrogen. So I cannot quote an exact number of tenders or projects out there, but it is a constantly increasing and very dynamic marketplace. But I also have to caution, it's still very early days. I think some may have an expectation that the hydrogen economy is going to develop faster and sooner than we believe it will, but the development has started. Meanwhile, we are strongly positioned in CNG and RNG, renewable natural gas, and we also have our battery electric technologies. So that's why we are quite agnostic and relaxed about that pace. But all in all, it's an exciting development also on the hydrogen side. Any other questions? Anything from the web audience today?
Operator: No questions from the web audience.
Jon Erik Engeset: If no further questions, thank you very much for sharing this morning with us and have a good rest of the day. Thank you.